Operator: Good day, ladies and gentlemen, and welcome to the Lululemon Athletica First Quarter 2014 Results Call. [Operator Instructions] As a reminder, today's call is being recorded. I'd now like to turn the conference over to Therese Hayes. Ma'am, you may begin. 
Therese Hayes: Good morning, everybody, and thank you for joining us on our first quarter 2014 conference call. A copy of today's press releases are available on the Investor Relations section of our website at lululemon.com, or furnished on Form 8-K with the SEC and available on the Commission's website. Shortly after we end this morning, a recording of today's call will be available as a replay for 30 days, also available on the website. 
 Hosting our call today is Laurent Potdevin, the company's CEO; and John Currie, the company's CFO. Our Chief Product Officer, Tara Poseley, will also be available during the Q&A. We would like to remind everyone, of course, that statements contained on this call, which are not historical facts may be deemed or constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results might differ materially from those projected in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC. 
 We have about 1 hour for today's call. [Operator Instructions] And with that, I will turn it over to Laurent. 
Laurent Potdevin: Good morning. Thank you for joining us today to discuss our first quarter results. There are obviously a number of things for us to discuss on this call, and a couple of them I'm going to leave to John, namely the share buyback and its future plans. 
 Q1 results were in line with our expectations as sales came in slightly above our guidance, and we are pleased that overall gross margin and earnings were achieved with lower markdowns than last year. We knew, heading into 2014, that driving sales in the first half of the year would be impacted by a suboptimal product assortment, combined with tough traffic trends. Q2 sales have solid arc behind plans and costs are more impacted than we had originally anticipated. In response to this, we have launched a number of initiatives to drive sales and increase long-term guest loyalty. 
 I would like to spend a majority of my time with you focusing on what I believe are the 3 key priorities that will continue to drive Lulemon as a market leader in the future. One, we are continuing to build our product engine to relentlessly innovate and consistently flow new products and exciting products to our stores for both men and women, including having our whitespace workshop and a world-class sourcing organization that are fully integrated with the product development team; two, we are implementing a branding and communication strategy that will create long-term guest loyalty, bring guests back and attract new ones; and three, we are pursuing our international growth with an aggressive yet sustainable plan. 
 So first on product. On our last call, I spoke to preventing quality issues from getting to our guests. We have made significant progress with the product engine and are seeing results with an increasingly higher pass rate at our factories, and a 12% improvement in the past 12 months. As part of our longer term strategy, we are aggressively focused on redesigning our go-to-market calendar to support our global growth. The first phase of this project relating to fact finding and initial assessment is complete. The above process will be fully redesigned and implemented over the next 18 months, and we will see incremental improvement along the way to get back to our long-term growth margin goals of mid-50s. 
 For Q3 and Q4 of this year, we are focused on clarifying roles and responsibilities, freeing up a significant portion of our designers' time so they can focus on what they do best: Being innovative and creating beautiful, technical products. We will implement process and system solutions throughout 2015 to significantly improve the flow of seasonal product to the right store, at the right time and in the right amount. We will start seeing a measurable impact of this work in Q2 of 2015, and we'll continue to gain momentum into the back half of the year. 
 This enhanced predictability will enable us to tell clear brand and product storage in season and across categories. And by Q1 2016, we will have a fully operational, word-class product engine to support a global, omni-channel, multi-brand business with localized assortment capability. 
 All of these efforts will not only result in amazing products, and therefore, increase traffic and consumption, but will play a significant role in getting back to our margin goals. 
 We are very pleased with the momentum of our men's business, which experienced a 9% comp in the quarter, on track with our expectation. And as mentioned on our last call, we look forward to seeing men's dedicated spaces come to life in Vancouver, Santa Monica and Miami in the next couple of months. 
 And our girl's brand, ivivva, continues to perform incredibly well and achieved its highest comp yet in Q1 '14 at 39%. ivivva store and showroom openings are on track for 2014 with 10 and 20 locations, respectively. 
 Next, and as it relates to brand. You're about to see actions that focus on driving traffic and sales. Lululemon can get to the very digital steady guests and have greatly substantial investment to flex all digital muscle through a variety of activations that include: the implementation of a social platform that allows us to leverage the power of our method of community; in-store technology has been rolled out to our entire network of stores to provide our guests the ability to shop our online inventory warning store, which is greatly enhancing the experience by broadening access to products, and we're seeing great results already; additional paid sales, affiliate programs, and on top of these digital projects, we're opening 14 pop-up stores across Canada and the U.S. from April through to September. These stores allow us to target new guests, drive additional sales and showcase the brand in unexpected ways. 
 Last, but not least, our international expansion. I'm really excited about the momentum that we continue to build in what we see as significant opportunity and a long-term growth driver. The success of our first London store opening, which is on track to do $7 million in its first year, is a testament to the international demand for our brand. In other parts of the world, we continue to experience increasing traffic and volume in our showroom. 
 In the past couple of months, we built a very clear 4-year roadmap to increase our overall footprint in Europe, Asia and other parts of the world. This will provide continued footprint growth as the North American business matures, and as we reach our anticipated store count of about 350 in North America. 
 By the end of 2014, we will have a presence in 8 countries outside of North America through stores, strategic sales partners and showroom. And when adding eCommerce, the number of countries our product is reaching is 83. We're on track to open our second store in London by year-end, and we expect our first store in Hong Kong by Q1 of 2015. 
 Throughout 2014 and 2015, we are focused on growing our showroom network, with store rollout expected to really ramp up in 2016 and beyond. By the end of 2017, we plan to be present in all major European and Asian regions, with more than 20 stores in both Europe and Asia. 
 2014 is very much a transitional year for Lululemon, and we are on track with the improvements we are set to achieve. We are focused on building a scalable foundation to further elevate our North American business and foresee the brand's incredible international potential. 
 I am confident that the work we're doing today will only enhance our premium positioning, as we continue to lead the market as the market innovator. 
 And now I will like to turn the call over to John. 
John Currie: Thanks, Laurent. Before I review the details of our first quarter of 2014 and update you on our outlook for the year, I want to begin by talking about the share repurchase program that we announced this morning. 
 The Board has approved a program to buy back up to $450 million of our common shares, that's dollars, of course, at prevailing market prices over the next 2 years. To fund this plan, we will repatriate cash from our Canadian subsidiary to our U.S. parent company, which will trigger a onetime tax charge of $30.9 million, taken on earnings from prior years that were previously not subject to U.S. tax. This nonrecurring tax expense is recorded in our first quarter results and represents a $0.21 impact on our diluted earnings per share. This now increases our available cash in the U.S., allowing us the flexibility to distribute capital back to our shareholders. We believe in the long-term value of the company, and this program will serve to create shareholder value as we execute it over time. 
 Now on to our first quarter results. For Q1, total net revenue rose 11.2% to $384.6 million from $345.8 million in the first quarter of 2013. The increase in revenue is driven by total comparable sales growth on a combined basis, including e-Commerce of 1% on a constant dollar basis, comprised of 25% growth online and a bricks-and-mortar stores sales decline of 4%, all on a constant dollar basis; the additional 45 net new corporate-owned stores since Q1 of 2013, 30 net new stores in the U.S.; 2 stores in Canada; 2 stores in Australia; 2 in New Zealand; 1 in the U.K.; and 8 ivivva stores; and offset with the foreign exchange impact of a lower Canadian and Australian dollar, which had the effect of decreasing reported revenues by $10.1 million or 2.6%. 
 During the quarter, we opened 9 corporate-owned stores: 3 Lululemon stores in the U.S., 1 in Australia and our first store in the U.K., as well as 4 ivivva stores in the U.S. We ended the quarter with 263 total stores versus 218 1 year ago. There are now 202 stores in our comp base, 39 of those in Canada, 131 in the U.S., 24 in Australia and New Zealand and 8 ivivva. We also opened another 2 international showrooms during the quarter, 1 in the U.K. and 1 in China, for a total of 7 in Asia and 9 in Europe at the end of Q1. 
 We now operate a total of 76 showrooms, which also include 18 ivivva locations. 
 Corporate-owned stores represented 74.9% of total revenue or $288.1 million, versus 77.9% or $269.4 million in the first quarter of last year. Revenues from our direct-to-consumer channel totaled $66 million or 17.2% of total revenue versus $54 million or 15.6% of total revenue in the first quarter of last year. 
 Other revenue, which includes wholesale, showrooms, warehouse sales and outlets, totaled $30.5 million or 7.9% of revenue for the first quarter, versus $22.5 million or 6.5% of revenue in the first quarter of last year. 
 Gross profit for the first quarter was $195.7 million or 50.9% of net revenue, compared to $170.7 million or 49.4% of net revenue in Q1 2013. The factors which contributed to this 150 basis point increase in gross margin were: the 510 basis point improvement in gross margin, due to anniversary in the Luon write-off provision from last year; a decrease in markdowns and discounts of 110 basis points, compared to the first quarter of fiscal 2013. And these were offset with product margin decline of 310 basis points due primarily to a higher sales mix of lower margin seasonal items, and also in part attributable to higher raw material costs associated with prints and textured garments, as well as duty adjustments that were trued up this quarter; 50 basis points deleverage from the foreign exchange impact of -- on product costs due to the weakening of the Canadian dollar; higher airfreight costs of 40 basis points; and 70 basis points deleverage from continued investment in our product and supply chain functions. 
 SG&A expenses were $125.9 million or 32.7% of net revenue, compared with $104.8 million or 30.3% of net revenue in the same period of last year. The 20.1% SG&A dollar increase is due to an increase in operating expenses associated with new stores, showrooms and outlets, as well as higher wages across our stores to reflect merit increases and base pay market adjustments; increased variable operating costs associated with our e-Commerce business, consistent with the year-over-year revenue growth in this channel; increases in expenses at our Store's Support Centre, including salaries, administrative expenses, professional fees and management incentive compensation, associated with the growth in our business. And in addition, we recognized $1.5 million in foreign exchange losses, which added to overall SG&A. And these were offset with a weaker Canadian and Australian dollar, which decreased reported SG&A by $5.4 million or 4.3%. 
 As a percent of revenue, our first quarter SG&A deleveraged 240 basis points due primarily to the run rate of prior year investments and new incremental operating expense needed to drive long-term growth. 
 As a result, operating income for the first quarter was $69.8 million or 18.2% of net revenue, compared with $65.9 million or 19.1% of net revenue in Q1 2013. 
 Tax expense for the quarter was $52.5 million. This includes the onetime adjustment of $30.9 million related to the repatriation of foreign earnings to fund the share buyback program. Excluding this tax adjustment, the tax rate would have been 30.1%, compared to 29.8% in the first quarter of 2013. 
 Net income for the quarter was $19 million or $0.13 per diluted share. On a normalized basis, diluted earnings per share would have been $0.34, compared to net income of $47.3 million or $0.32 per diluted share for the first quarter of 2013. 
 Our weighted average diluted shares outstanding for the quarter were 145.9 million versus 145.8 million 1 year ago. 
 Capital expenditures were $25.4 million for the quarter, compared to $21 million in the first quarter of last year, with the increase associated with new stores, renovations, IT and head office capital. 
 Turning to our balance sheet highlights. We ended the quarter with $752 million in cash and cash equivalents. Inventory at the end of the year -- sorry, end of the first quarter was $177.4 million or 23.4% higher than at the end of the first quarter of 2013. 
 Similar to the last quarter, this is higher than optimal, due primarily to a higher composition of core inventory. We expect to continue to rebalance our inventory levels as we head into the back half of the year, and have adjusted our assortment more in line with guest demands for fall and winter. 
 This now leads me to our outlook for the second quarter and full fiscal year of 2014. May performance to date has been soft, as our comps have declined from the first quarter. As a result of our comp trends, we have deployed revenue-driving initiatives for both our stores and e-commerce site, some of which Laurent addressed earlier. 
 In addition, we've opened pop-up locations to capture demand in areas that otherwise would not have a store. While these initiatives are good for the long term, as they primarily encompass full price selling, they do come with increased SG&A costs. 
 We expect these initiatives to mitigate some the sales mix over the rest of 2014. 
 As a result, we're adjusting our Q2 and full year revenue and SG&A forecast for these changes. We currently anticipate Q2 revenue in the range of $375 million to $380 million. This is based on comparable sales percentage decrease in the low- to mid single-digits on a constant dollar basis, compared to the second quarter of 2013. This outlook assumes a Canadian dollar at $0.91 with the U.S. dollar, and 12 new store openings: 7 in the U.S.; 2 in Australia and New Zealand; and 3, ivivva. 
 Consistent with Q1, we expect gross margin to be between 50% and 51%. This is down from 1 year ago, primarily due to a higher mix of lower marginal seasonal product, deleveraged against product and supply chain expenses within cost of goods sold, store occupancy and depreciation; and lastly, the impact of foreign exchange due to a weaker Canadian dollar compared to last year. 
 We expect SG&A to deleverage as a percent of revenue compared to the second quarter of 2013, which is driven primarily from the run rate of strategic investments made last year, and incremental spend in traffic in revenue-driving initiatives. 
 While these investments to drive the top line, the associated sales carry a reduced flow-through percentage. Finally, due to a slightly stronger Canadian dollar relative to the end of Q1, we will incur foreign exchange losses that will increase SG&A. 
 Our SG&A also reflects preopening costs related to the 12 stores planned to open in Q2 and additional stores planned to open in early Q3 of 2014. 
 Assuming a tax rate of 30.2% and 146 million diluted average shares outstanding, we expect diluted earnings per share in the first quarter to be in the range of $0.28 to $0.30 per share. 
 For the full fiscal year 2014, we expect net revenue for the year to be in the low to mid of our previous guidance at $1.77 billion to $1.8 billion. We expect to open 45 corporate-owned stores, including our Australian stores and the ivivva locations. We're also on pace to operate up to 20 international showrooms by the end of this year. For the year, we expect gross margin of approximately 51%, down from last year, due primarily to product mix, continued investment in our supply chain and product operations functions, and also foreign exchange impacts from a weaker Canadian dollar. 
 We are on track to open our second U.S. distribution center in Columbus, Ohio in August, which will go live initially with e-Commerce, with retail fulfillment to begin in Q1 of 2015. As I mentioned before, the startup costs and increased capacity will initially delever our gross margin by 30 to 40 basis points in 2014. 
 We expect SG&A deleverage as a percent of revenue compared to 2013. This primarily includes investment in corporate SG&A in areas such as brand, IT, guest experience and international that were included in our original guidance for the year. 
 The traffic and sales initiatives discussed earlier will result in an incremental investment in the $10 million range. In addition, our SG&A forecast is also setting aside funds for additional strategies currently being developed and evaluated for approval. 
 As a result, we expect our overall operating margin to delever from 2013 and our fiscal year diluted earnings per share to be approximately $1.50 to $1.55, or $1.71 to $1.76, normalized for the tax adjustment. This is based on 146.3 million diluted weighted average shares outstanding as our guidance does not reflect any estimate of shares repurchased, and it assumes an overall effective tax rate of 38.6%, which includes the onetime tax adjustment, or 30.2%, excluding this tax adjustment. 
 We expect capital expenditures to be between $110 million and $115 million for fiscal 2014, reflecting new store buildouts, renovation capital for existing stores, IT and other head office capital, including expansion of our existing premises. 
 And finally, before we open up the call to questions, I want to take a minute to speak to the announcement today that I will retire at the end of the fiscal year, once we transition to my successor. As many of you know, we are a very goal-oriented company, and it's been -- long been a part of my goal to expand my involvement, serving on corporate and nonprofit boards. And for those of you who know me really well, you know that my long-standing goal has been to ski each season the number of days equal to my age. Since I turn 60 next year and these goals are difficult to achieve with a day job, I've decided that this is the time to announce my retirement plans. This will allow the company to initiate a comprehensive search for my replacement and to allow for a smooth transition. 
 So this isn't the time to say goodbye as I'll be around for a number of months, and you'll have me to kick around on at least a couple of more earnings calls. And so with that, I'll turn it back to the operator for questions. 
Operator: [Operator Instructions] Our first question is from Bob Drbul of Nomura. 
Robert Drbul: John, best of luck and congratulations on the retirement. Laurent, I guess the first question that I have really is, with John retiring, should we expect additional management changes, now that you've had some further time to sort of assimilate into the organization and create a little bit more of a view? 
Laurent Potdevin: Well, first off, I mean, we're all incredibly sad to see John deciding to go and start his professional skiing career. But we've got a number of months with him before that happens. And with every transition, you do have changes, and we have a couple of other changes, including one change in brand, in our Brand and communications department. 
Robert Drbul: Okay, great. And then within the new -- within the updated outlook, on the gross margin side and even on the sales side, can you just update us around like the expectations for the seasonal offerings and the Fast Turn capsules, related to both top line and the gross margin? 
Therese Hayes: So I'll speak to Fast Turn and, John, if you want to field the gross margin questions. But I think we've talked a lot about 2014 being the year of building our foundation. And we've been doing a lot of work for the back half of the year to rebalance the assortments between the seasonal core, really reflecting where the guests' appetite is for seasonal core. Also we have used our fast turn group to chase into additional prints and bottoms for the third quarter. And then as we move into fourth quarter, we continue to use that team to chase into product, as well as we've worked really diligently to make sure more of the beauty and technical is that, I've you spoken to in prior calls and then on the Analyst Day, but making sure we are more consistently showing up with that in our product. 
John Currie: And on your gross margin question, as long as I'm getting it right, I think in our gross margin will be pretty consistent with where it was in Q1 through the first 3 quarters. And then, of course, in the fourth quarter, due to higher volumes, it'll be a couple of basis -- or a couple of hundred basis points higher. 
Operator: Our next question is from Brian Tunick of JPMorgan. 
Brian Tunick: I was hoping maybe you could just parse out the quarter-to-date deceleration in the comp trend. How much of that is a traffic issue? And how much of that may be the product flow issue? And then maybe just some more commentary on the pop-up stores. Maybe what's the duration of the leases? And could those potentially become permanent stores as well? 
John Currie: Okay. It's hard to dissect the comp only a few weeks into the quarter. But actually, what we're seeing is traffic a little bit stronger, which is very encouraging, but conversion down, which makes sense with a non-ideal product assortment. So it means -- it's telling us that we're maintaining the guests coming in. And when the product is right, that should deliver a rebound, but in the back half. And in on the pop-up stores, I think your question would these be the permanent? They're typically leases of less than 6 months, and unlikely that any of these will be permanent stores. There might be some locations where we would seek out a permanent store, but not in these existing locations. 
Operator: Our next question is from Roxanne Meyer of UBS. 
Roxanne Meyer: I was wondering if you could talk longer term about the gross margin and your targets to get back to the mid-50s. I just -- I guess, just thinking about the perspective, back when your margins were more healthily steadily there, your comps were at a much more elevated level. And obviously, your mix shift was a bit -- your mix was a bit different, more skewed to the higher margin core product. And obviously that's transitioning and weighing down on your margin now. So what are the factors that you think longer-term can get your gross margin back to the mid-50s? 
John Currie: Okay. Tara, maybe I'll take it and you can add whatever you'd like. When I look at our longer-term gross margin where I see tremendous opportunity to get back to that mid-50s range, it comes from all the work that Tara and Jennifer Battersby and their teams are doing to change the go-to-market process to operate more efficiently and just work with our factory partners in a more organized, disciplined way. We see that potentially driving 300 to 500 basis points of improvement over time. That'll take a couple of years to get there, but there's a pretty clear roadmap that we're seeing that should deliver that. Tara, anything to add? 
Tara Poseley: No. I think unless there's additional questions. 
Operator: Our next question is from Barbara Wyckoff of CLSA. 
Barbara Wyckoff: Congrats to John. I'm going to talk about -- ask about gross margin, too. You mentioned lower margin on seasonal product, is that because you're intentionally taking a lower IMU, because the costs are higher, due to smaller quantities? Are there higher markdowns, air shipping? And at what point do you think that IMU or that margin comes up? 
John Currie: Yes. I'd say -- I mean, generally, it is higher cost, whether it's textures and prints or additional features that in our pricing architecture, we haven't taken full pricing. And so they do tend to have a lower margin. I think Tara's commented in the past that, potentially, over time, we look at that pricing architecture. But for the near-term, that's really what's driving the larger or the lower margin on the seasonal items. 
Operator: Our next question is from Matt McClintock of Barclays. 
Matthew McClintock: I was wondering if you could focus more on the revenue-driving initiatives. I understand the pop-up stores, but could you talk about what you're doing specifically for what would impact the comp base? Like what type of revenue-driving initiatives would impact either your e-Commerce business or the stores and the comp base? 
Laurent Potdevin: Sure. Yes. We -- I mean, Lululemon engages a very digitally savvy guests, and we really haven't flexed our muscle there. And we're doing a number of things. I mean we are doing -- I spoke on our earlier call, on our call from a quarter ago about the incredible value of our ambassadors and the fact we don't really fully leverage the stories that happen in our communities. So we're building a social platform that is unique to our ambassadors that will go live in September, so that we can gather, real-time, all of the work that's happening in our communities and sort of be able to share that in a much more efficient way. We're also -- we released in-store technology so that we can share inventories when our guests are in store, they can actually shop online inventory, therefore, sort of enhancing the access to product. And then we have really ramped up page search media with leveraging sort of standard channels through Google. We're working on click to breaks and this is a geo-based strategy that we're doing in partnership with Google as well. And we're also accelerating our affiliate partnerships with ambassadors, studio, elite athletes who promote our content and drive traffic to our site. To add to that, I mean, we've been really successful with our product notifications, and we're planning to double the base of guests that receive those product notification, and we're also going to make them a lot better and a lot more efficient. And finally, as we start up, as we ramp-up our CRM efforts, I mean, we're planning to do some light segmentation of our emails to be much more targeted in how we reach our guests. 
Operator: Our next question is from John Morris of BMO Capital Markets. 
John Morris: Two-part questions here. First of all, I think in the prepared remarks, Laurent, you talked about ramping up store openings. I think it was in 2016 and beyond, and wondering what does that long-term square footage growth look like? If you look out 3 to 5 years, do you have kind of a target for that? And also with respect to the long-term operating margin goals, what would those look like, given what you've already been talking about with respect to the long-term gross margin goals? 
Laurent Potdevin: So as we think about our international expansion, we're staying very true to our showroom strategy, which is to build awareness in the market and build momentum, and so -- and getting pulled by the community. And we expect the showroom to have a lifespan of 12 to 18 months before we're ready for store rollout. So we're going to be, in the next 18 to 24 months, we're going to really accelerate the showrooms internationally. And then that's going to trigger a store rollout 12 to 18 months following that. So the plan is really to be -- and if you think by 2017 having over 20 stores in Europe, 20 stores in Asia, not including, what I mentioned Asia, not including Australia and New Zealand. The plan is further and beyond to be able to open probably about the same number of stores that we're currently opening today in North America, around 45, and that will sort of replace the square footage opening in the next couple of years in North America as that market matures. 
John Morris: So would that be kind of a mid-teen? Or maybe even a target towards 20% long-term square footage growth? Just want to kind of get a feel for that. 
John Currie: We just have to do the arithmetic. I mean, we tend to think in units. These stores are each about 3,000... 
Laurent Potdevin: Yes, it's probably just under mid-teens, right? Yes. 
John Currie: Yes. 
John Morris: And, John, operating margin? 
John Currie: We said -- highly confident that the gross margin will get back to that mid-50s range. As I said in the past, getting back to mid-20s operating margin, I think, we'll get there. Of course, as we are expanding into new countries, new markets, initial productivity will be lower, so that will bring down operating margin temporarily as those stores ramp up. But the core business and as international operations mature, my view hasn't changed on our ability to achieve that mid-20s operating margin. 
Operator: Our next question comes from Sharon Zackfia of William Blair. 
Sharon Zackfia: I was hoping, I think, Laurent, you mentioned there might be some other changes in management. So could you give us an update on where you're seeking talent? What holes are still out there where we might see more turnover? And then maybe a broader comment on just morale within the organization, given kind of the disruption both in management, but also, more recently, with the Board? 
Laurent Potdevin: Sure. So on the morale, I mean, I think we're not commenting on the Board. But meeting with the company yesterday, we've sort of mentioned that our parents are fighting, and it's awkward. But both Chief and the rest of the boards fully support the management team and what we're doing. So we are staying focused and we're not going to let us be distracted. And so I think we're in very good shape there. I mean, when you think about our educators, I mean, they are the face of the brand, and they deal with our guests every day. So certainly, we've made up their lives more difficult in the past years, but we're very focused on them being engaged, excited and happy. So we haven't seen any increased turnover there. And I don't remember the first part of your question. 
Sharon Zackfia: I think in response to a previous question, you had mentioned there might be similar changes in management. So could you give us any update on that? I think you said maybe somebody in product or something like that? And then if there are any keyholes you're still looking to fill within the management team? 
Laurent Potdevin: Yes. When I came on board, we had a hole in HR, and we're in the very final stages of that search. I'm really excited about that. And we're also, Laura Klauberg and Brian [ph] in Marketing has decided to move on, and we're in the process of interviewing candidates there. But we have a really, really strong team, both on the community, brand, digital and creative side of the business, and we've gotten very engaged with them. And other than that, we're in great shape. 
Operator: Our next question is from Adrienne Tennant of Janney Capital Markets. 
Adrienne Tennant: My question actually is on the non-comp productivity. It looks weak again. For the fourth quarter at the Analyst Day, you had delineated several factors that were contributing to fourth quarter non-comp productivity. Could you do the same for the first quarter? And then secondarily, Laurent, have you done any brand awareness studies for the Canadian and U.S. market? And then the new markets that you're entering? 
John Currie: Okay. Sorry, I can't remember how I delineated the new store products. 
Adrienne Tennant: You gave us a Top 10. The reason -- the Top 10 things we were missing in our non-comp calculations. 
John Currie: Yes. That's okay. Got you. Yes, you're probably still making most of those mistakes. So bottom, bottom line, again, when we look at new store productivity in Q1, it continued to be in that $1,100 to $1,200 per square foot range, similar to what we've seen over the last 18 months. 
Adrienne Tennant: So no change, no meaningful change there? Okay. 
John Currie: No, no. 
Laurent Potdevin: And as far as looking at consumer sentiment, brand strengths, we actually just launched -- we implemented NPS, Net Promoter Score. And we got our first benchmarks yesterday. So I haven't had a chance to fully dig into them, but I'm really looking forward to using that as a tool to sort of see how well our brand initiatives are changing the brand sentiments and improving conversion and traffic. 
Adrienne Tennant: Does that study give you brand awareness at the end? 
Laurent Potdevin: Yes, it does. 
Adrienne Tennant: And will you share that with us on the next call, perhaps? 
Laurent Potdevin: Sure. 
Operator: Our next question is from Janet Kloppenburg of JJK Research. 
Janet Kloppenburg: I have a couple of questions. I wondered if Laurent or Tara may -- might talk a little bit more specifically about the sales slowdown in May. Has it been in both -- all categories, men's and women's, and across all subcategories of bottoms and tops? And what it looks like by channel? And if you could maybe help me understand a little bit more, Tara, I thought that the fashion component was to become higher here in the second quarter, and then that would help drive sales and traffic and conversion in the stores. It seems like things are going in reverse, and I'm not sure I really understand why. Has the build to the fashion assortment not been what you expected it to be here in the second quarter? 
Tara Poseley: Janet, Tara here. So just -- I've been pretty consistently saying in 9 -- when I came into the business and knowing our product life cycle, it's a 9 months calendar. I've been pretty consistent that I was getting that rebalance of core and seasonal corrected for the third quarter, not the second quarter. And then also I've been chasing into prints and really continuing to work on the reinvention of core. And we'll start to see more of that in bottoms, as we get into Q3. And then Q4, my focus not only with the rebalance, but also making sure -- working closely with design to really try to affect the beauty technical piece that's so important to our brand, and it really sets the foundation of who Lululemon is. So for second quarter, I mean, those assortments were done well over 1 year ago prior to me getting here. But we've used the Fast Turn team pretty aggressively to affect third and fourth quarter. 
Laurent Potdevin: And to add to Tara's point. One, I mean I've been incredibly impressed with how quickly the team is reacting on the fly and getting us the absolute best assortment they can, in an environment where we don't have -- we haven't planned for that 1 year ago. But also, if you look at the beginning of Q2 and going back to the point that John made earlier, I mean, once we're seeing traffic getting stronger, which speaks to the brand sentiment getting better and conversion getting lower. So the initiatives that we've started to do about brand are paying off. 
Operator: Our next question is from Jennifer Black of Jennifer Black & Associates. 
Jennifer Black: I was wondering if you could talk about your efforts to acquire data about your core customer and his or her shopping preferences. Are you able to track how many customers and transactions are tied to purchases? And if not, what systems do you have in place that will be able to give you detailed information? Or is this something that you're working on building? Is this part of a bigger picture down the road, building your CRM loyalty program? 
Laurent Potdevin: We've actually never used a lot of data in the history of Lululemon, and we're shifting that as quickly as possible. I mean, we've got a very loyal guest and we should know a lot more about him or her, and it is part of our CRM efforts. So we are investing heavily, both from a talent standpoint and from a technology standpoint to really ramp that up. And it's a little bit of a curse than a blessing, the curse being that we don't have a lot of data right now, the blessing being that we can build a system that will really sort of take us in the future, and that's what we're building. So it is part of the plan, and we're in the process of building it. 
Operator: Our next question is from Dana Telsey of Telsey Advisory. 
Dana Telsey: As you work to drive traffic and improve the assortments, is anything changing on the pricing side, both with core and with seasonal product? And are you seeing the same trends online as to what you're seeing in the stores? And lastly, any further update on London. How that is doing? And just one more quick thing, on the sourcing side, Jennifer and Tara, how are you doing in putting in place the processes that you want? Where are you in getting to the end goal? 
Tara Poseley: Okay. I'll start. And just on the process and sourcing side, one of the things, as I've been here since November and really on the ground in Vancouver starting in February, one of the things that I have found in really digging into our go-to-market calendar with Jennifer is, we have a go-to-market calendar that really supports a much smaller company and doesn't necessarily reflect the complexity of where we are today and where we're going in the future. So work that we have done and put underway, we brought in outside consultants, who I've actually worked with in the past, to do a deep dive on our go-to-market calendar. And over the next 6, 12 and 18 months, we are going to be implementing the findings that we found, as we really looked in and did the deep dive on the calendar. So I think, from a quality standpoint, Laurent has talked about it, all the process, procedure is in place for quality. And now our real focus is on the go-to-market calendar and creating a really efficient, strong calendar that supports an innovative product organization. So as we move into Q3 and Q4, I've talked a great deal about on this year, it's just really about building our foundation. So we're going to be beginning to shift our process as we move into Q3 and Q4, which we'll really start seeing the result as we move into Q2 of 2016 and beyond. And then the core versus the seasonal product and pricing structure, one of the things we've initiated is a very strategic work around pricing, where we sit in the market place and our pricing architecture. And as I see opportunities, both in the core and in the seasonal to adjust pricing, through that very methodical approach, we'll be doing so. So then I'll just turn it over, because I think there might have been another question about driving traffic. 
Dana Telsey: Exactly. 
Laurent Potdevin: The question was about driving traffic in London, right? So London, I mentioned that earlier, I mean, London is performing incredibly well. I mean, I think we're in excess of 130% of plan. And we're sort of on track to be a $7 million store in Year 1, which we're very pleased with. And in terms of driving traffic, I mean, I'll go back to what I said earlier about flexing our digital muscles and we're also working on some key initiatives at the store level that we'll be rolling out in the next couple of months. 
Operator: Our next question is from Paul Lejuez of Wells Fargo. 
Tracy Kogan: It's Tracy filling in for Paul. Question for John. I was wondering of your $110 million to $115 million of CapEx this year, how much of that is going to IT and infrastructure versus new stores? And then as you look out to future years, do you think the CapEx number continues to pick up? Or do you think it will flatten out at this level? 
John Currie: Okay. I think all of the various IT systems and initiatives are probably close to $40 million of that number. There's, what, 10 , 15 of various head office-related capital. And the balance is either new store build-out or -- we have a pretty significant renovation program every year. I think you'll see CapEx in a similar range for a couple of years and maybe beyond. But it's certainly on the store side, and with systems once you get them all implemented, it's time to upgrade them. So probably that's sort of level is a good number for several years. 
Laurent Potdevin: And some of them focus on guest taking technology, right? Either in-store technology that's we're planning to play with, or our CRM in business, our guest intelligence effort. 
Operator: Our next question is from Camilo Lyon of Canaccord Genuity. 
Camilo Lyon: I wanted to just understand a little bit more, I mean, you talked about some of these revenue-driving initiatives. You talked favorably about what you are seeing on the traffic side. But just help me understand exactly why you see the level of re-acceleration in comp growth in the second half, given that there's still some imbalances between seasonal and core and the efficiencies on the supply-chain side look more like of a longer-term sort of benefit and not something just completely see in the back half. So if you could just help reconcile that, that would be great. 
John Currie: Yes, I think, a couple of things gave us confidence that you're going to see stronger comps in the second half. First of all, as Tara said, the product assortment won't be ideal in the second half, but it'll be improved over what we saw in Q1 and what we're dealing within Q2. And then secondly, the downturn in traffic and some of the issues started really in Q3, Q4 last year. So we're going to be lapping weaker performance in the second half of 2013 versus what we saw at the start of the year. 
Camilo Lyon: And then just on competition, how are you thinking about the competitive environment now? Whether it's from skewed overlap, pricing dynamics? And then just lastly, if you could just break up the Canadian to U.S. comps? 
Laurent Potdevin: You want to break down the comps and... 
John Currie: Yes -- sorry, I just got to find it. Yes, U.S. combined comps was 2%, and the U.S. is minus 5%. Sorry, Canada was minus 5%. 
Laurent Potdevin: And as far as competition, I mean, obviously, it's a crowded field, but it's also a very much of a growing field globally, and we know that we've got the right talent. And when we -- these are in the product as we've done lately, I mean, we win. So we're in this game to win it and maintain our premium position in the market that we've created. 
Operator: Our next question is from Oliver Chen of Citi. 
Oliver Chen: On your full year comp guidance, what's the implication for fourth quarter? It seems like as you rebalance, you'll potentially see an acceleration. So are you thinking mid-to-high by fourth quarter and third quarter? Can we assume that, that's going to inflect the positive comps? Also, if you could just comment on your inventory composition? And how you feel about freshness now? It was running ahead, and you tapered your guidance down. So I was curious about if there's merchandise margin pressure? And if things are over inventoried currently? 
John Currie: Yes. In the second half, we see Q3 turning to positive combined comps. And you're right, sort of mid to -- maybe mid to -- a little bit above comps in Q4. In terms of inventory composition, similar to last quarter, where -- as I said on the -- in the prepared remarks, we're a little heavier than we'd like to be overall in inventory, but the excess is primarily excess core. And we deal with that just by reducing forward orders, which we have done it. And that excess of core is actually coming down. So we feel pretty good about the freshness of the balance of the inventory. Then in general, we're doing things like opening these pop-up stores. So that even with weaker than we'd like to see sales trends, we're able to clear this inventory at full price. 
Oliver Chen: Just a follow-up on the conversion rates, where you -- it seems like there's an opportunity for a better conversion rate. Which classifications between, like, tops and bottoms, do you feel that she may be looking at but not purchasing, or has an opportunity for the most improvement? 
Tara Poseley: Well, I think that we have been talking about the core that we have an opportunity to evolve our core, as we move forward. So I would say the first place that we'll start seeing the results first would be in the bottoms and then tops and jackets really following in subsequent quarters. Did that answer your question, Oliver? I'm not sure. 
Operator: Our next question is from Jim Duffy of Stifel. 
Jim Duffy: A couple of questions, so bear with me on this. The first one, have you implemented any of these initiatives to drive traffic yet? And if so, have you seen a noticeable influence in the results? Then I have a follow-up related to that. 
Laurent Potdevin: Yes, we have. We've just launched. And it's early to tell what the results will be, but we've done the affiliate programs, the paid search and the Google clicks to break. And the one initiative that we can speak to is the in-store technology that gives our guest access to our online inventory while in stores, and we've seen tremendous results with that, with the app already generating 1% of our retail sales and 8% of e-Comm sales -- and 4% -- I'm sorry, and 4% of our e-Comm sales. I was a little optimistic with that... 
Jim Duffy: Does that get credited to the e-Commerce business or to the retail stores? 
Laurent Potdevin: It gets credited to the e-Commerce business, but the store manager gets compensated for the sale. 
Jim Duffy: Very good. So my next question is, so traffic's getting better. You feel -- you have these initiatives, which you expect to drive more traffic, you expect better product in the stores for 3Q, and it sounds like even better yet for 4Q. Can you be more specific about the things you are seeing that gives you a reason to be more conservative on the revenue outlook for the full year? 
John Currie: I mean, even though we're seeing -- we're more comfortable with traffic and we still are seeing a deceleration in comps coming into Q2, and that's reflected in my guidance. And so as we extrapolate out, we are taking into account the positives in terms of product assortment, et cetera. But I think it's still prudent to be conservative and expect that the underlying trend continues for the time being. 
Operator: Our next question is from Howard Tubin of RBC Capital Markets. 
Howard Tubin: Tara, maybe you could just comment a little bit on the men's business? I think, you said it was up 9% in the quarter. So what's so are you finding about that? What's driving the men's business? 
Tara Poseley: So we're really pleased with the men's business. Q1, our big focus was on really landing our men's fit, which we are pleased to have done, as well as really focus on the base of our sweat assortment. So we've been pleased with the results there. So I think the men's team, this is their first quarter of our nearly formed men's team with Felix del Toro. And we're excited about the momentum that I'm continuing to see in the product that's going forward in Q2 and Q3 and moving into Q4. I don't like giving specifics on exactly what is doing well in the assortment, because that's just nice information I would just be handing out to competition. But we're very pleased with the results and where we see that business going, as well as when we talked about the Ivivva business, and I think the product there looks tremendous and very excited for the team and also the momentum there gaining in their business as well. 
Laurent Potdevin: And if you look on the digital side, what we've done with the men's business, they've just launched a very specific social platform. They've got a different sort of shopping environment. So we've done some really great work, and you can really sort of experience that firsthand on our website. 
Howard Tubin: Got it. Can you remind us what percentage of the overall business is men's? 
Laurent Potdevin: 13%, 14%? 
John Currie: 13% in the quarter. A little over 13%. 
Tara Poseley: Operator, we have time for just one more question. 
Operator: Our next question is from Kimberly Greenberger of Morgan Stanley. 
Kimberly Greenberger: John, I wanted to check the cash balance on the balance sheet, $750 million. How much of that is in the U.S.? 
John Currie: A little over $100 million. Most of it's in Canada. 
Kimberly Greenberger: The $31 million onetime tax adjustment. How much will that charge? How much of the cash that's outside of the United States, will that charge allow you to repatriate? 
John Currie: $500 million. 
Kimberly Greenberger: $500 million? Okay. 
John Currie: That's how we did the calculation. 
Kimberly Greenberger: And then my question for Tara is, if there are -- and I apologize for asking such a basic question, but is there a simple way to help us understand what you think is wrong with the assortment currently? I'm not -- I've been listening through the Q&A and trying to understand this a little better. But I'm not sure I get it. 
Tara Poseley: That's okay. So what we've been, and we talked about it on the last call, is we have a core product assortment that has not been evolved as quickly as it should have been. And we're diligently working away at that. We didn't have enough depth in our seasonal product in Q1. We're very -- our balance is more heavily weighted towards core and less on the seasonal. So we're getting that rebalanced back in line. And it will be running more where it was running in 2012, by the time we get back into Q3 and Q4. I think there's been a real lack of cohesive merchandising stories in our store, really telling those product stories in a really clear and concise way. So lots of opportunity there, especially as we move into '16. And then, again, I talked about the go-to-market calendar. We have a lot of opportunity to evolve that process to really express where we are as a more complex North American brand and moving forward, as a global brand. So a lot of work being done there. That will bring a lot more consistency as we move into '16 in our product storytelling and our beautiful technical product landing in stores on time, in right place at the right time as we talked about. 
Laurent Potdevin: All right. So thank you very much. It was good speaking to you all. And we look forward to speaking with you next quarter. 
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. Have a wonderful day.